Operator: Good morning and welcome to the Enzo Biochem Inc. Third Quarter 2017 Operating Results Conference Call. I will now read the company’s Safe Harbor statement. Except for historical information, the matters discussed in this news release maybe considered forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. Such statements include declarations regarding the intent, belief or current expectations of the company and its management, including those related to cash flow, gross margins, revenues and expenses are dependent on a number of factors outside of the control of the company, including inter alia, the market for the company’s products and services, cost of goods and services, other expenses, government regulations, litigations and general business conditions. See risk factors in the company’s Form 10-K for the fiscal year ended July 31, 2016. Investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve a number of risks and uncertainties that could materially affect actual results. The company disclaims any obligation to update any forward-looking statement as a result of developments occurring after the date of this conference call. During this conference call, the company may refer to EBITDA, a non-GAAP measure. EBITDA is not and should not be considered an alternative to net loss, loss from operations or any other measure for determining operating performance. The company has provided a reconciliation of the difference to GAAP on its website, www.enzo.com, and in the press release issued last night. Our speaker today is Barry Weiner, President. At this time, all participants have been placed on a listen-only mode and the floor will be opened for your questions and comments following the presentation. I would now like to turn the floor over to your host. Mr. Weiner, the floor is yours.
Barry Weiner: Good morning and thank you for joining us today. On the call with me is Jim O’Brien, our Executive Vice President of Finance. Last night, we issued our fiscal 2017 third quarter results press release. You can view it on our website. As usual, I will not only comment on our financial results, but also on our accomplishments toward achieving our strategic objectives this quarter. These include the status of our product pipeline development and expansion of our business within the molecular diagnostics market, where we have set out to provide services and products of the highest quality that are easily adaptable into our customers’ current workflow, and perhaps more importantly, given the current market dynamics, may provide material financial savings and thus margin improvement for them. The third quarter was another noteworthy period. In what I am pleased to say is a growing succession of noteworthy quarters. Our product development program is on track. As announced last night, Enzo received three more product approvals in support of our AmpiProbe platform. This is a very key accomplishment for us. The timeframe for regulatory approvals has sharply narrowed. This is indicative of our improving technical expertise in this area. Thus, the approved molecular diagnostic products we use with our proprietary platforms are growing in number. In addition, Enzo’s recent announcement that it has become an in-network partner with the fourth largest insurance carrier marks an important step in growing our national footprint as we expand into New England, the Mid-Atlantic, and beyond. Our products and services, especially in the women’s health diagnostics field, are being increasingly recognized by healthcare providers and physicians. The latter is evidenced by our growing roster of clients at Enzo Clinical Labs. In addition, our strategy to becoming national reference laboratory is progressing as planned with a number of opportunities now being explored and worked on. And not least, the financial results of the quarter. As I will discuss in detail shortly, they are strong and continued to improve each quarter as we continued to execute on our business strategy. Revenues continued to increase, 2% this quarter over the prior year and 5% on a year-to-date basis. Consolidated gross margins are growing, 200 basis points this quarter over the prior year and breakeven GAAP earning and positive EBITDA. By all measures, our overall financial health has improved over the prior year, and we are optimistic given our business strategsy that this trend will continue. I would like to begin with a brief discussion about the market dynamics and review why Enzo’s strategy is so important to the industry. The one constant that most of you are well aware of is that reimbursement for lab testing continues to be under pressure and to decline. This trend will be exacerbated 6 months from now when the first federally mandated pricing adjustments to the laboratory services are implemented due to the implementation of the Protecting Access to Medicare Act or PAMA. Section 216 of this complex law stipulates that Medicare reimbursement rates, which have been calculated, be the same formula for over 30 years, will now be based upon weighted averages of commercial payers. And given the nature of the calculations and our knowledge of the market, we anticipate about a 10% reduction in reimbursements on the clinical lab fee schedule beginning this upcoming January. We also anticipate a further 10% reduction in 2019 and probably another in 2020. As a result, there will be a continuing and debilitating margin squeeze as well as the lack of profitability on behalf of many of the hundreds of independent labs across the country, which unlike Enzo, do not have the technology, financial support, or IP assets to support a vertically integrated business. And when the discussion turns to the rapidly growing high cost field of molecular diagnostics, the economics for these labs may worsen. In a very real sense, the high cost of such products and services may actually impact the laboratory industry to the point where continued investment in information technology, infrastructure, and clinical solutions will become very challenging. As a result, many such laboratories may find themselves having to seek alternative business solutions that could negatively impact the access to high-quality services that physicians and hospitals rely on to make over 80% of healthcare decisions on behalf of their patients. Enzo’s strategy goes to the heart of the premise of reducing costs, while assuring quality clinical results. As such, we are deeply engaged in developing a wide range of highly efficient and affordable molecular diagnostic assays and reagents, along with new platforms on which they can be utilized for use in the clinical laboratory marketplace. Enzo has received a number of approvals from the New York State Department of Health for tests such as women’s health infectious diseases, lipoprotein A2 activity, a marker that may be associated with increased cardiac risk, and hepatitis C viral load among others. We have also been taking steps necessary to become a nationwide reference laboratory. This allows us to provide independent labs with unmatched optionality as they attempt to navigate the treacherous waters of declining reimbursement. Because Enzo is a vertically-integrated healthcare company, with competencies and infrastructure from technology and platform development through manufacturing, validation and distribution, our solutions could save clinical laboratories between 30% and 50% on certain products or reference services. Since our unique structure eliminates multiple cost layers that most other product and services companies are burdened with. As an example, an independent lab could opt to purchase and validate our products, which are designed to seamlessly integrate with existing procedures. Once they begin to incorporate them into their operations, they should be able to see material improvement in their cost of goods thereby improving their operating margin or they may wish to expand their molecular test menu in order to better serve their local market or perhaps to expand into other areas of specialization using our referenced services. Under this scenario, Enzo can offer competitive high-quality services that allow the lab to better compete without the need for significant capital outlay or what could be months of prep work just to get their lab equipped and properly staffed. The facts are really clear. Demand for molecular diagnostics is rapidly increasing. In order to compete against national, academic, or hospital laboratories, small or regional independent labs must offer cost efficient, highly reliable molecular testing solutions in a molecular diagnostics market growing at about 7.5% annually, now estimated to be more than a $7 billion market. When this is coupled with the market dynamics I referred to earlier, the solutions we have developed and continue to develop could become critical to many of these labs very survival. We are continuing to move this strategy forward. Our company anticipates further approvals from New York State Department of Health in the near future as we continue to expand our menu of in-house developed laboratory procedures in the molecular space. We anticipate further additions to our growing women’s health line as well as other infectious disease assays based upon our proprietary platforms and technologies. Our teams are also working diligently to complete the final steps necessary to be licensed in all 50 states. And once this occurs, we will be able to further ramp up our business development effort to other independent labs. At the same time, we are expanding our physician clinical business into New England and the Mid-Atlantic as the investments we have made in IT and logistics now allow us to effectively grow geographically. The agreement we signed in April with the nation’s fourth largest commercial insurer underscores the level of quality and innovation Enzo has become synonymous with and will no doubt help to contribute to our success in this endeavor. What we at Enzo have done is recognized this new paradigm by bringing our significant and large patent estate into the picture. We have also integrated our life sciences and clinical laboratory to develop and test our platforms and genetic diagnostic products to assure their proven qualities and drive them to be highly productive and less expensive. As independent analysis is shown, we have enabled these products to perform exceptionally well on an open systems, so that they can be profitably employed. What significant is that few, if any other companies have the means to bring to market similar tests with the fluidity and the cost effectiveness as Enzo is accomplishing, in short, we are endowed by experience and infrastructure that has been able to design proprietary products to do the job efficiently and at lower cost, which is what we effectively are doing today. Our results for the third quarter of fiscal 2017, the three months ended April 30 underscore the progress we are making. Consolidated revenues increased to $27.1 million compared with $26.4 million in the prior period. This reflects an 8% increase at Enzo clinical labs, which we will address in a moment. Gross profit increased 6% and as a percentage of sales advanced 200 basis points to 45%. We also have been successful in maintaining our expenses. Operating expenses were $27.3 million compared to $29 million in the prior year, an improvement of $1.7 million. Operating loss improved significantly to a loss of $227,000 from a loss of $2.5 million a year ago. As a result, the GAAP as well as the non-GAAP net loss for the quarter was only $71,000, which on a per share basis equals zero or breakeven. A year ago, the net loss was $2.1 million or $0.05 per share. Earnings before interest, depreciation and amortization or EBITDA was $685,000, where a year ago, EBITDA was a negative $1.1 million, an improvement of roughly $1.8 million. On a segment basis, Enzo Life Sciences experienced a 9% decline in the current quarter, but yet on a year-to-date comparison is only 2% of last year’s results. The current quarter results were impacted by a delay in shipments of certain products in the U.S. that should be recognized in subsequent quarters, some of which occurred in May. Secondly, a continuing softness and pricing pressure in the highly competitive as well as very challenging academic and government marketplaces that are being subject to funding pressures by many within the industry. And third the effect of our ongoing streamlining program to focus on higher margin products and effort that has reduced our product line by well over one-third. Despite these, we continued to exercise tight cost controls, bringing the cost of sales down 7% to $3.6 million and reducing SG&A 5% to $2.7 million. Consequently, Life Sciences has reminder profitable with operating income of $600,000 with profit margins essentially steady at 52.3% versus 53.5% a year ago. Noteworthy too, the unit also remains cash flow positive. At this point, it is also worth pointing out that the symbiotic relationship resulted from the integration of Life Sciences and clinical labs in our diagnostic product development program is moving forward exceptionally well. Most of the R&D expenses for Enzo occurs in the Life Sciences segment, but this joint program has intrinsically been highly beneficial to the performance we are seeing at Enzo clinical laboratories. On that score, Enzo Clinical Labs worth as noted, posted an 8% increase in revenues to $19.6 million from $18.2 million in the prior year period. Notably, this marked the sixth straight quarterly year-over-year gain for clinical labs, coinciding approximately with the rollout of our new molecular diagnostic platforms and products, especially in the women’s health category, indicating how these services are gaining increasing traction. Lab operating income grew to $1.5 million compared to $300,000 a year ago, a five-fold increase. Gross margin importantly improved 300 basis points to 42%, reflecting operating excellence and the increased volume of molecular testing. We believe this is one of the highest profit margin ratios in the general clinical laboratory industry and indicative of the high value throughput and efficiency level of our lab. Before turning to our balance sheet and cash management program, I believe it is important to note that on a year-to-date basis, Enzo’s financial performance is well ahead of last year and I believe we will finish the year strong as we enter into the fourth quarter. Year-to-date revenues are $79.6 million compared with $76.2 million, an increase of $3.5 million or 5%. With consolidated margins improving 100 basis points to 45% and operating expenses lower, the GAAP net loss for the nine months ended April 30 was $2.6 million or $0.06 per share compared to GAAP net income of $9.2 million or $0.20 per share for the prior year period. It’s important to note that the prior year period included adjustments mainly $18.5 million in licensing and legal settlements. On a non-GAAP basis, the net loss for the current nine months period is $2.6 million or $0.06 on a per share basis compared to a net loss of $7.6 million or $0.17 on a per share basis in the prior year, marking a significant improvement year-over-year. What’s more, non-GAAP adjusted EBITDA for the nine months ended April 30, was breakeven compared to a non-GAAP adjusted EBITDA loss of $4.3 million in the prior year. This result points to Enzo’s significantly improved operating performance, a trend we expect to continue. Before I close our discussions of finance, I want to point out that Enzo’s balance sheet remains quite strong. It is un-levered and provides the financial strength to execute our developmental and commercial strategy. During the most recent quarter, cash flow provided by operating activities was a solid $900,000. After capital expenditures related to expansion, cash and cash equivalents grew $200,000 and stand at $62.6 million. Apart from these commitments, our company has no debt. Before I complete my prepared remarks, I want to again point out two recent important strategic developments, which makes the past quarter important beyond our financial results. As I previously mentioned in March, the clinical services operation was named a national in-network healthcare provider by one of the nation’s leading healthcare services organization. It is a reflection of our advanced procedures and technology in molecular diagnostics, and it means our services are available to the literally millions of individuals in this providers network nationwide. That’s why revenues from this new association are in the early stages of developing, we are anticipating that a formidable array of diagnostic capabilities will produce meaningful added revenue in the months and years ahead. In addition, last night’s announcement that New York State Department of Health has granted us conditional approval for three additional health-related molecular tests for use with the company’s versatile and economic AmpiProbe platform, is significant and progressing our product pipeline from research and development to validation and approval. Specifically, approval was provided for a real-time PCR-based method for qualitative detection of gonorrhea, chlamydia trachomatis and vaginitis and vaginal swab specimens. The approval of this diagnostic approach, these diagnostic tests that add to the company’s growing panel of woman’s health diagnostics is very important. Gonorrhea, especially, has one of the highest incidents among women sexually – in the sexually transmitted disease area. Our objective in the women’s health area is to begin to market a comprehensive women’s health infectious disease panel consisting of some 14 or so organisms by the end of the summer or soon thereafter. In addition to this extensive women’s health panel, we already have approved tests for HPV E6, E7 detection; HCV viral load, that’s hepatitis C virus, a cardiac marker and a fertility assay, which are on the market. Our pipeline of potential test is a robust one. Under active development, our tests for hepatitis B virus and HIV viral loads as well as a full line of products for the identification and visualization of solid tumors. Let me note finally the status of our lawsuits. In Delaware, unresolved patent infringement cases are now listed for jury trials and we expect some of them may get underway before the end of the year. So, we have a busy calendar ahead aside from our product and development undertakings. Our focus is to keep the operational momentum going and to continue to build value as we have done over the past quarters for the company and our shareholders. On that, I will be happy to turn the floor over to questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Kevin Ellich of Craig-Hallum.
Kevin Ellich: Good morning and thanks for taking the questions. I got a few, Barry, this morning. I guess, just starting financially, really good revenue growth. Wanted to see what’s – what are the main drivers and what type of growth should we expect on a go-forward basis? And on top of that, gross margins expanded very nicely, wondering where do you think margins can go and what are the main drivers behind that?
Jim O’Brien: Good morning, Kevin. It’s Jim. We certainly anticipate that we will have continued revenue growth in our clinical services as well as our product group. We don’t forecast out, but well, I believe that, that’s going to continue to grow quite nicely. And I think to the point of Enzo’s strategy, as we continue to develop and use in our own service capabilities in a lab, the tests that we develop, you are going to continue to see that margin increase and that’s a key focus of ours. We are running a highly efficient organization right now. We have done a number of things to make sure that we have got the capacity build to be able to increase workflow in the lab, and I would expect that margin to continue to grow as you see product approvals happen in the near-term.
Barry Weiner: Just to add a little color to Jim’s comment, we are seeing significant growth in the molecular space. Our penetration and reach within our regional area is increasing significantly. Some of it has to do with the expansion of our product lines. Some of it has to do with the dynamics of the industry. And as the reputation and realization within the medical community of Enzo being a somewhat unique and special women’s health provider has given us access to an increasing number of customers in the women’s health market, specifically in the area of fertility and in vitro fertilization areas. Our pipeline is now coming to a place where we believe we will be able to begin the launch, as I mentioned hopefully by the end of the summer, early fall, of the first significant panel in the area of women’s health. And again, what we are focusing on is a product line that will be able to provide laboratories and other diagnostic providers with a solution in a marketplace that has high value and critical need with a system, a system meaning specifically reagent-based componentry that they will be able to have marginal return. And that is a critical issue in our marketplace at this point in time. We also are beginning to put forth a national program that will provide access to Enzo’s technology and products and services on a low-cost basis. So, I think it’s a dual program of product and service provision, which I believe is unique within this marketplace that will provide economic solutions to diagnostic providers across the country and also within Europe, because there is an important market there as well. So, we do see the product and technology drivers emerging. I think we are reaching the point we have all been waiting to get to by the end of this summer when we will begin to launch these products, and I think they will have a meaningful revenue contribution to us as we move forward.
Kevin Ellich: That’s helpful, Barry. And then just – I guess continuing on, on the pipeline, especially in women’s health, you mentioned fertility IVF, are you doing anything in prenatal by chance?
Barry Weiner: Well, we provide – we are one of the largest provider of prenatal screening in the Metropolitan New York regional areas. Now, we are a provider of services for many other companies. What we attempt to do to – with our clients is to provide them optionality, to provide them access with exceptional service in logistics to many types of tests, whether we run them ourselves or whether we partner with other companies and provide the logistics for those companies. So, our menu of tests will provide tests that we run. It will also provide tests that we will market for other entities, because we have a very strong intellectual, I would say, IT capability that allows us to interface with these parties. But the short answer is we are a very significant provider of prenatal screening options for physicians.
Kevin Ellich: Got it. And then just wondering if you guys are doing anything in the immunooncology arena, I am not sure if you have been doing any PD-L1 testing, but just maybe could you give us any color if that’s even on your radar?
Barry Weiner: It’s on our radar. We have a development program we have not really shared yet, because it’s at its early stages, but it is an area of high focus. Obviously, we have a significant physician population that utilizes our services of program and we provide – we try to provide full service capability to those physicians. So, we are looking at those areas. I think it’s important to note that what we are looking at, whenever we produce a product is the reimbursement model associated with that product. Historically, there are some challenges in the immunooncology market as there are in all the predictive diagnostic markets for reimbursement. And the reason we have been driving our margin improvement is that we are taking a keen focus on the areas of reimbursement where we can receive payment for the tests that we do. That being said, I have highlighted somewhat in my comments, our AmpiProbe technology, which is focused on nucleic acid detection. We also have platforms, specifically in the immunoassay area, that will give an enhanced or highly – more highly defined capability or sensitivity to detect. And we are looking at these platforms and associating them with the new product line in that area as well, which could address some of the areas of immunooncology.
Kevin Ellich: Great. Thank you.
Operator: [Operator Instructions] You next question comes from the line of Norman Hale of Stifel.
Norman Hale: Good morning.
Barry Weiner: Good morning.
Norman Hale: Yes. Good quarter for you guys, lot of improvements and very curious. Two key areas I wanted to talk about today, first of all, your recent announcement about the agreement with the fourth largest insurer, just wanted to get a feel for how that was ramping up?
Jim O’Brien: Hi Norman, it’s Jim O’Brien. Quite nicely, the growth opportunity with this new insurer will come twofold. One within our existing physician practices, where we haven’t been taking samples, because we were not in network, up-selling those is quite easy to do and we have been very successful in doing that already. In addition, it allows us to market our services, not only here regionally in New York area, but beyond in a very key strategic partner as we enter into the New England area. So we have a lot of opportunity and part of extending our in-network insurance capabilities is an important product – an important part of our strategy. And we continued to look at others where we can become partners with, particularly some of the blues up in Massachusetts and in Philadelphia and really across the nation down in Texas and so forth. So we have targeted our program to attract more in-network partners. And it’s an active program that we are following as we expand nationally. And I think we are going to have much success to follow.
Norman Hale: Okay, good. And I mean it’s early in the relationship with the insurer, but so far are they pleased with how things have initially progressed?
Jim O’Brien: I would say so. We saw some terrific results in the short period of time. In April, they continued to progress nicely. In May the reimbursement is very good. And our relationship has started off on the right foot.
Norman Hale: Okay. And obviously as just said, it’s early in the relationship, but let’s look ahead to say mid-2018, at that point, you will have ramped this up to incorporate more geographic areas and tell me if I am correct on this, ultimately you want to be able to with this particular company, you want to be able to do this in every state in the country, is that correct?
Jim O’Brien: That’s correct. We have a national contract with this company. We also have a national contract with United and others. So I think having that expanded coverage, opens up a lot of opportunity for Enzo. And I think it goes well to the quality of service that we are providing to physicians and patients. So I would expect that network to expand. It’s not always easy to do as I am sure you know from the industry. But we are confident that we can get others to partner with.
Barry Weiner: This is Barry. Just another additive to this, I think Enzo as an entity is somewhat unique in the diagnostic – clinical diagnostic world for many of the reasons I have just elucidated on. As a result, we have been having dialogue and discussions with payers and providers because it is – on an extensive – more extensive level than one would have think because of the types of products we are producing, which are cost efficient. And obviously in this environment, our approach to the market as well as our approach to the providers is that, not only are we providing products that are technologically sophisticated and comparable and provide a level of excellence in diagnostic capability, but they are low cost. And economics sort of provides us with an ability to engage in a dialogue that is universally of importance in this marketplace. And so to be able to speak to a cost structure that can contribute, support in marginal return, not only for providers, if they can work with us on a preferred provider capability, but also for the labs that are within their networks is of high interest to them. So we have an ability to engage in the dialogue more than just another laboratory within the marketplace, looking to gain coverages for a certain clientele. That being said, our goal to expand this laboratory nationally and it should be noted, we are today capable of taking specimens from almost 95% of the states in the United States. We just have a few big ones and we hopefully will have those in the very new future, which will give us 100% reach is an important criteria. We have begun to accept samples from labs around the country. We have clientele, which are now beginning to work with us and we hope to expand that. And I think that will change the dynamic of Enzo. It will morph the image and the brand of Enzo to a different level and we are driving to that. As I mentioned earlier, the approval of the women’s health panel in its totality will be a very important step to be able to move to that direction and with the announcement of yesterday, a critical component was contributed to that. So we are moving forward quickly. And we believe we have a business model and strategy that will be effective and important and contributory in this marketplace today.
Norman Hale: Well, I think you guys have a tremendous opportunity ahead of yourselves, when that news first came out, I was absolutely thrilled to see that, but just so I understand exactly from an operational standpoint as you are expanding the geographic reach in terms of this agreement with this fourth largest insurer, as far as what you have to do internally as you are scaling up the number – the quantity of business you guys have been doing, is this going to require significant capital cost to do an expansion or you just take your existing facility and increase the personnel, maybe buy some additional equipment, I am just trying to get an idea of how this works, how you guys are planning to do this?
Barry Weiner: We don’t believe that it will entail a significant capital investment to support the expansion, some additional shifts might be needed, but we have the capabilities, the capacity within the lab to bring on more work without a significant investment in the lab.
Jim O’Brien: Yes. Again, part of the effort in the life sciences area of reducing our SKUs, our product lines has been to free capacity in manufacturing to manufacture and make these particular products. That is part of the contributory reason to the revenue declines that you have seen in the Life Sciences division. It’s to prime and prep that area to be able to deal with that capacity. In terms of the services side of the business, it’s highly leverageable from the perspective that obviously different time zones provide us capabilities for different shift operations. And we have taken a very, very detailed look at our capacities and our capability to handle inflow of specimens on a much larger scale. We believe it is one that what has Jim mentioned, it can be accomplished with limited capital expenditure and the infrastructure exists. I mean quite simply, most of our specimens at the lab for our Northeast region are run between 11 and 4 in the morning. Specimens coming in from the West Coast arise at 5 or 6 in the morning, can be processed and run and resulted out by 9 Eastern, which is 6 Western. As a result, it’s almost a seamless operation of continuous flow through the laboratory of minimal, minimal change within process of procedure.
Norman Hale: That’s pretty interesting. Who is the entity that provides transportation for all of these specimens?
Jim O’Brien: Well, locally we have an entire network of drivers’ logistic providers and then we use third-parties, whether it be FedEx or DHL for long distance. So, we have the capabilities already. We are just extending the reach currently of our logistics network today. And it’s highly efficient, everything is bar-coded. We have a really efficient logistics operation that has capacity to expand with the operation here and then we will use third-party carriers where it’s well beyond their reach.
Barry Weiner: This is a process that is ongoing. I mean, this is not new. It will just be expanded. Today, we do take specimens from all over the world. So, the process and procedure is already in place.
Norman Hale: Okay. The specimens have to be kept at the specific temperatures?
Barry Weiner: Some do, yes.
Norman Hale: Okay. Yes, that’s interesting. Well, I would guess then that as you are scaling up, assuming that your pricing remains constant that this saw the result in better margins, better gross margins for the product area?
Barry Weiner: We certainly believe that will be the case.
Norman Hale: Yes, okay. It’s great news. Okay. Moving on to as news came out with yesterday about the three conditional approvals for these diagnostic tests, what specifically – when it’s hit conditional approval, what specifically does that mean?
Barry Weiner: Well, data over time is continuously submitted to support the submission. We are able to run these tests with that conditional approval. What it means is that basically over time, data will be evaluated at any point in time. There can be revision in that. It’s just the way the process is working with the state – almost all tests come through with conditional approvals.
Norman Hale: I see. Okay. This is just normal stuff.
Barry Weiner: I mean, the important part is that we are now able to run these tests in-house and do charge for them and that is the critical issue. Anyway, are there any other questions, we should move forward, if we can?
Norman Hale: Well, I have just one more. On your women’s health panel in one of your presentations, you say you expected availability, fourth quarter, well – I mean, you are moving forward with that. Are there several more pending things relative to the women’s health panel, do you guys – have you guys submitted several more?
Barry Weiner: We are – we will need the missing component here are number of probes for the bacterial vaginitis analytes, which we hope to have out within – by the end of the summer.
Norman Hale: Okay. And your…
Barry Weiner: That will complete it.
Norman Hale: And your HIV viral load on AmpiProbe, what is the status there?
Barry Weiner: It is in development, as we speak.
Norman Hale: Okay. Any idea when that might be?
Barry Weiner: I mean, we anticipated this calendar year. It is in a fairly advanced stage of development.
Norman Hale: Okay. That’s what I got. Thank you.
Barry Weiner: Thank you.
Operator: Sir, there appear to be no further questions at this time.
Barry Weiner: Thank you again for joining us this morning. We look forward to reporting to you at the year end period. Thank you again.
Operator: A replay of this broadcast will be available until Friday June 23 at 12 midnight. You may access this replay by dialing 1800-585-8367. The PIN number is 34280145. This replay is also available over the internet at www.enzo.com. This concludes today’s teleconference. You may now disconnect your lines and have a wonderful day.